Operator: Good day, ladies and gentlemen, and welcome to the Orion Energy’s Fiscal 2018 Fourth Quarter Conference Call. At this time, all participants are in a listen-only model. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions]. As a reminder, today’s conference is being recorded. I would now like to turn the call over to David Collins. Sir, you may begin.
David Collins: Good morning everyone, and thank you for joining Orion Energy Systems four quarter conference call. Participating in today’s call are Orion’s CEO, Mike Altschaefl, and CFO, Bill Hull. Mike will open today’s call to discuss Orion’s fiscal 2018 progress, financial performance and its business strategy and goals for fiscal 2019. Bill Hull will provide some financial highlights and then we will open the call to questions. An archived replay of this call will be available later today in the Investor Relations section of Orion’s corporate website. This call is taking place on Monday, June 04, 2018. Remarks that follow including answers to questions include statements that the company believes to be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally will include words such as believe, anticipate, expect or words of similar import. Likewise, statements that describe future plans, objectives, or goals are also forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different than anticipated. Such risks include, among others, matters the company has described in its press release issued this morning and in its filings with the Securities and Exchange Commission. Except as described in these filings, the company disclaims any obligation to update forward-looking statements. With that, I'll turn the call over to Mike.
Mike Altschaefl: Thanks, David. Good morning and thank you for joining our call today. Our fourth quarter and full year fiscal 2018 revenue and margin performance progressed somewhat more slowly than we had anticipated, but not without a number of areas of progress that shape our more favorable outlook for fiscal 2019 and beyond. I will focus my remarks on our accomplishments in fiscal 2018 and help you understand the thinking behind our fiscal 2019 outlook. I’ll let Bill provide a little more perspective on our financial results in his remarks as well as in the Q&A session. What we did accomplish in fiscal 2018 were several key initiatives aimed at driving future sales growth and enhancing our profitability and cash flow through margin enhancement moves and substantial cost cutting across the organization that reduced annual overhead by approximately $6 million or 20% compared to fiscal 2017 levels. Though these efforts were not fully evident in our fiscal 2018 performance, we believe we have entered fiscal 2019 with much stronger sales momentum in an expanded pipeline of opportunities across three areas: our national accounts business; our developing agent driven distribution model, where we are starting to see exciting signs of real traction; and our renewed efforts aimed at energy service companies or ESCOS as well as resellers. ESCOS and resellers had once been an important part of our go-to-market strategy, but received somewhat diminished focus and support as we worked to build out our agent base. Our three-pronged sales strategy refinement has taken time to mature involving some learning and adjustments as well as enhancing our sales and marketing support and management on our side. Orion was successful in expanding its base of significant national account opportunities during fiscal 2018. This work has developed several projects that we expect will significantly benefit our fiscal 2019 results, starting primarily in the second or third quarter. We have developed some exciting product potential in the retail industry, and we continue to anticipate a solid contribution from our automotive segment. We believe that these national accounts customers chose to do business with Orion, primarily due to our proven ability to deliver on-product quality, custom engineering and design, nimble decision making, quick production turnaround, and nationwide project management capabilities all wrapped in our commitment to exemplary customer service. Our successful expansion into the agent-driven distribution channel has started to hit its stride with the maturing of our agent base through our sales, marketing, and training collaboration and new product development to address the needs of a more diverse base of customers. For those new to Orion, we believe this initiative has expanded our North American reach from approximately 13% of the total commercial LED markets to approximately 77% of the market. Developing our agent base is a reiterative process involving training, supporting, incentives, understanding their needs in order to make them successful, and productive. It also requires us to access their performance and to replace those who are not good fits or not up to the task. It has taken time and persistence on both sides to help our agents get up to speed working with Orion and to experience firsthand the quality of our products, capabilities, flexibility, and underlying commitment to customer satisfaction. We’ve learned there are no shortcuts providing that, we can deliver on what we promise and to supporting our partners to become effective in selling our strengths into their customer base. In fiscal 2018, we developed and successfully launched our new value-priced Harris Patriot-branded LED lighting product line. The Harris Patriot line is a light weight, sleek and lower cost design ideal for new construction and more price sensitive procurements. The modular design of these products makes them easily upgradable should the customer later decide to deploy advanced controls, more efficient light engines, or other enhancements. This plug and play upgrade potential of the Harris line differs from much of the competition, while also providing Orion with potential future revenue opportunities. I am pleased to report that after all of our collective efforts, our agent-based contribution to Q4 fiscal ’18 revenues fell in line with our expectations and we expect to build on its strength going forward. Part of this solution for all of our customers has been to listen to what the market is seeking and then to develop products that directly address those needs. As a result, many of our recently launched products have been adapted to include a wide range of controlled integration options through modular plug-and-play designs that enable customization of fixtures for basic controls to advanced IOT capabilities. Enabling these fixtures integration features has seen us launch exciting control integration options for Lutron Vive, Philips EasySense, and Magnum Energy Solutions, further broadening the control options for our customers. Turning to the cost side of the business, as we’ve previously commented on in detail, Orion enters fiscal 2019 having eliminated approximately $6 million in annual operating costs during fiscal 2018. The full benefit of these cost reductions will be reflected during fiscal 2019 and should play an important role in enabling Orion to deliver improved operating results and achieve our EBITDA breakeven goal. Based on the expected benefits of our efforts focused on driving revenue and profitability improvements, we are providing an initial fiscal 2019 revenue goal of approximately 10% growth over fiscal 2018. We believe this is both a realistic and appropriate goal based on our current view of the business. We are also reiterating our prior goal of achieving a 30% gross margin and breakeven EBITDA by the second quarter of 2019. We caution that our quarterly performance can and will likely vary materially on a sequential and year-over-year basis to the economic and industry forces outside of our control as well as the size, timing, and terms of customer contracts. Further, our gross margin and EBITDA are very much impacted by our revenue levels and related overhead absorption. Finally, I would like to comment on our NASDAQ listing status. We previously requested and were granted an initial 180 days period in which to regain compliance with NASDAQ’s $1 minimum closing bid requirement. We have requested and we were granted a second 180 day extension period through November 26, 2018, during which time we believe the execution of our business plan could enable Orion to regain compliance. In order to demonstrate to NASDAQ and our shareholders that we are fully committed to regaining compliance with the $1 minimum closing bid requirement during our second compliance period, we will ask our shareholders to approve an authorization for a range of possible reverse stock split ratios at our annual shareholder meeting in September. I want to be clear that we are doing all of that -- all that we can to advance the business and deliver financial results that would support our regaining NASDAQ compliance in an organic manner between now and November. Our seeking shareholder approval in September for a reverse stock split is only to secure the authorization to utilize this tool and to demonstrate to NASDAQ and our shareholders that we are taking appropriate steps to ensure Orion regains compliance. Only in the event that we are unable to regain compliance without it, would we affect a reverse stock split. Finally, I would like to mention that we will be presenting tomorrow at the LD Micro Invitational in Los Angeles. We look forward to seeing some of you at LD Micro. With that overview, I will turn the call over to Bill to provide more detail on financials.
Bill Hull: Thanks Mike. Beginning with revenue, Q4, 2018 came in at 15.1 million, slightly below 15.3 million in Q4 of 2017 and below our implied goal. Q4 2018 LED product revenue was 12.3 million compared to 12.5 million in Q4 of ’17 and 14.5 million in Q3 of ’18. In all three periods, LED lighting represented 90% of total lighting product revenue. Fluorescent sales were flat in Q4 ’18 versus the prior year period at approximately 1.3 million. While our focus is on LED lighting, we continue to provide certain fluorescent products based on customer request particularly given the substantial size of legacy fluorescent lighting installation and our interest in eventually helping those customers navigate to more efficient LED solutions. Gross margin was 21.4% in Q4 2018 compared to 6% in Q4 ’17, reflecting the impact of 2.2 million of inventory related charges and cost of sales in the prior year. However, Q4 ’18 gross margin decreased sequentially from 29.6% in Q3 ’18, primarily due to the impact of lower overhead absorption related to lower revenue. Looking at the full year fiscal 2018, total operating expenses decreased 2.2 million to 27.7 million in fiscal ’18 compared to 29.9 million in fiscal ’17, reflecting initial benefits of the company’s cost reduction initiatives offset by 2.1 million in cost reduction related severance expenses and $0.4 million increase in asset impairment charges. At the close of fiscal ’18, Orion had net working capital of 13 million including 9.4 million of cash and cash equivalent and we had 3.9 million in long term borrowings under our revolving credit facility, compared to 6.6 million at the end of fiscal ’17 and 3.6 million at the close of Q3 ’18. We continue to believe that our cash position combined with unused credit available under our revolving facility should provide us with sufficient financial resources for the foreseeable future. Now with that, let’s open the call to your questions. Operator?
Operator: [Operator Instructions] our first question comes from Eric Stine with Craig Hallum. Your line is now open.
Eric Stine: I was wondering if you could start with the national account, you mentioned the significant opportunities that you see in front of you. I mean maybe, as much as you’re able to give some details, are those new or existing customers, maybe the magnitude if that’s possible, but also curious, have you factored that into the guidance, the 10% growth year-over-year or should we view as upside to that guidance or that outlook?
Mike Altschaefl: A few answers to your question Eric. First of all, we are seeing some nice activity both with our existing national accounts putting new projects in place, allocating more capital going forward, and those would primarily be some of the ones we’ve talked about in the past which are some of our larger automotive customer segment initiatives, and so that’s from existing customers. We had previously talked about some of those magnitudes and we continue to feel positive about what might be happening there. In addition, we have some significant opportunities that are developing well for us and with some new customers for us. And part of what – from a magnitude standpoint, we’re really not at the stage of being able disclose magnitude part of what happens in these situations as while they might be large, the individual orders that come in might come in overtime and we typically do not record something in the backlog unless we have purchase orders or other significant documentation of sales. So, we were excited and that we’re seeing it both with existing national accounts as well as new national accounts. We think we are seeing more capital being allocated to energy projects and to lighting projects. What I will tell you is that we have found in some of the opportunities, we are seeing our ability to carry out nationwide project management capabilities as being one of the factors along with our product that is getting us to the table as big situations where we are typically winning those against some of our larger competition.
Eric Stine: Got it, and maybe you said this and I missed it. But should we view that as it’s there, you are hopeful, but it is not part of that outlook at least at this point for fiscal ’19, is that how we should look at it?
Mike Altschaefl: I’d have to say Eric; it’s hard to be real definitive in that because frankly some of this is developing, so while some of our existing national accounts I guess are coming out of our automotive side where we had fairly good visibility even though it’s not contractually obligated, it’s part of our forecast and then some of the opportunities could have some outside potential for us. Well you also have things that you think is going to happen that don’t happen. But we are some of both.
Eric Stine: Maybe just turning to the agent channel, you clearly are feeling better about that. Is there a way – do you track the percentage of that channel that’s been in place that now you are more than a year and it’s more mature. And then you’re feeling better, but when do you – how far away do you feel until you feel like that channel is up and running where it should be.
Mike Altschaefl: Sure. On previous quarters, we had provided some percentage breakdown between our national account business and our agent business, and we had been in that mid-to-upper 40% range. What we’ve decided to do going forward is that as we have refined our approach to the market in these 3 paths of national accounts, agent driven distribution, and ESCOS and resellers, we don’t find that percentage breakout being that significant of an indicator for us as we’re managing the business. We look at the agencies, we look at the revenues that we’re generating from them, the profitability that we’re getting from them and the investment we are making in those to kind of make our decisions. We are fairly built out across North America was our agent base being in the – again we are nearing 50 agents on a nationwide basis. And as I mentioned in my opening comments, the expectations we had in Q4 of ’18 were met with that agent base, so we think we are getting to the point where it’s maturing, they are understanding how to work with us, we are understanding how to work with them, and we expect them to continue to hit our expectations throughout fiscal ’19 from an agent side of the business. So we think we are through that path, and now it’s refinement and support and growing with them.
Operator: And our next question comes from Craig Irwin with ROTH Capital Partners. Your line is now open.
Craig Irwin: Harris in the past had some really interesting customer relationships. You’ve done well maintaining several of those, but I’m guessing that they participate actively or the people involved originally in capturing those customers participate actively in the new pipeline development. Can you maybe discuss any elephants that you’re hunting that was an area of particular success for Harris in the past. Can you give us maybe an idea of how many elephants are out there in the grass, and are you optimistic that maybe one or two of these could be landed in this next fiscal year and are any of those in your guidance?
Mike Altschaefl: As a bit of a background, Harris Lighting is a company that Orion purchased in 2013, and Harris had a significant history to it, in particular did some large national rollouts of both highway product and commercial linear and troffer product for a number of companies, and we continue to have a number of people from Harrison involved with our business, in fact our COO, Scott Green came to us through that acquisition. Craig, we are seeing that certainly that group of sales executives from the Harris team are significant portion of our national accounts team that continues to look for new opportunities not simply taking care of the existing or past opportunities. And we are seeing some significant opportunities developing in that area, as I mentioned earlier, elephant is kind of a relevant term, but they are projects that tend to be larger in nature and a little bit in answering like the previous question, I’d say we forecast to the sum of our 10% growth, the likelihood of landing certain new business that some identified, but also there is going to be upside potential if we are fortunate to land an elephant or two going forward. So it’s part of our optimism right now that while we are seeing the – all three paths to the market feeling pretty good to us right now, the opportunity for us in the national account base is just near term. We feel it’s significant and that’s why we’re making sure we have our resources allocated and then going after. And Craig I just wanted to add, I’m sorry to interrupt you. Some of these situations we find, when you talk about an elephant and the national accounts can take years to develop. And so we have situations where we literally might be working on something forward two, three, four years staying in touch, working with them and then things start to come together and that’s why we’re feeling optimistic as we’re seeing some of those things come together that we’ve been literally working out for years.
Craig Irwin: I wanted to ask a little bit about your R&D budget. You’ve done a tremendous job trimming your expenses throughout the organization and I see how cut and bolts are little bit in R&D. But can you maybe discuss what the project vitality or product vitality is that you look for that the percentage of new products introduced each year, approximate number of SKUs from the R&D team over the course of the next year. May be can you also discuss the input that you get from your channel and other outside source when you select those new products that you’re going to be developing for introduction.
Mike Altschaefl: Sure. Our research and development cost between fiscal 2017 were right around 2 million and fiscal 2018 were right around $1.09. So a modest reduction, but some of that can just be projects that we’re currently working on. We really have continued to make sure we have allocated to R&D where we think it’s necessary. How we look at R&D and new products, we have a team that works on new product development. We do get as much information input as we can externally, examples would be LIGHTFAIR for us is a significant trade show for our industry, and by having a booth and interacting with our customers – potential customers, we get ideas of our products. Secondly, as we meet with our agent representatives and with the contractors they have worked with, they provide ideas for us. When we were at LIGHTFAIR we had some product under development that we showed the people to say how does this fit in the market place. And so our strategy has been to stay focused, but realize that the industry continues to change and that there is a need for continued development of new product, different moving packages, color tuning. And then the last piece is certainly the control aspects. As I commented in the past, our path to the control market has been this day to be open from a technology standpoint and therefore we are able to work with multiple controls, firms, control packages that integrate those in to our fixtures or to have them add-on capabilities through controls. And we continue to think having that open environment as the way to go from a control standpoint. Our development is both on the higher end product. We continue to have the highest lumen per package in the industry at 214 lumens per watt and we also as we’ve talked a few times developed along the Harris product line, more the entry level of cost competitive market place. So we look at both of those theses. I don’t have the specific numbers for your products on our roadmap, but we handle it and manage it as a product roadmap and meet periodically to make sure we’re spending our resources appropriately to be competitive in the industry.
Craig Irwin: My last question is about the balance sheet. So you know over the last several quarters, you’ve really just done an amazing job conserving cash, squeezing that balance sheet for cash. This quarter you had two specific items on the cash flow, one was a use of about $900,000 of cash for prepaid or other and then the others $1 million use of cash for accrued items. Can you maybe discuss for us the short term swings on the balance sheet, whether or not these are likely to come back over the next couple of quarters, how you feel about cash use throughout fiscal ’19?
Bill Hull: Craig this is Bill. So, we had a –as we noted in our press release, we had a $1.4 million reversal at a last contingency we had set up, which was an accrued expenses. So although that was in cash, it’s going to change the number, right, it went in to income and reduced the accrued expense. So that’s one thing. And I think the other thing is more related to deferred revenue and a few things like that that just move around on the balance sheet. So I don’t think on a go-forward basis at least what we see right now we should see large shifts like that. Again 1.4 million was a one-time type item, right.
Mike Altschaefl: So as a positive it was eliminating an accrual we had for a possible legal matter that was no longer needed.
Operator: [Operator Instructions] our next question comes from Amit Dayal with H.C. Wainwright. Your line is now open.
Amit Dayal: You talked about sort of reviving the ESCOS/reseller channel; can you talk about like what this comprises of, what you’re doing on this front?
Mike Altschaefl: Historically for our company, ESCOS energy service company and resellers had been a really part of our business from the company’s formation back in the 1990s. In 2016 as we expanded in to the agent driven distribution model, we put a lot of emphasis on that. We somewhat pulled back of spending time and resources in that ESCOS market. What we found as we analyzed our revenue and our changes in our business over the last couple of years, we made a conscious effort some months ago to make sure we were regrouping in that area and going after all three of these paths to the market place. And so its reinvigorating, the agency ESCOS that we have been working with, it’s going after larger ESCOS that operate throughout North America. And for us it’s just trying to cover the entire market. And the way we try to term a little bit is, we believe customers are going to buy product in the way that they want to buy product and we feel we have the ability to do that in any channels they chose, whether it’s best for them to buy through the agency channels or to be on national account and buy in that manner or through ESCOS. And so we think it gives us three strong likes to the stool if you will, and what we’re feeling positive right now is we think on all three of those, we have some good momentum going forward.
Amit Dayal: And just with slow-up that might, so how do we manage sort of the resources that we provide to these channels. Do we depend on performance or do you have several budgeted out specific resources that we allocate to these different channels to go after the opportunities?
Mike Altschaefl: It’s a great question, there are certain resources that are specifically allocated to one of those three channels and there are certain resources both product development and sales and marketing resources that are more general in nature and cover all of those. And frankly that’s part of the reason why we felt that discussing the percentage breakdown of revenue between agency and national accounts is becoming less meaningful because there is a crossover between the different paths to the market place. From an agency standpoint, we have financial information from agencies as to what they have brought to the table, what they sell, where we have helped them with sales opportunities, our commission structure with them is set up to reward those that bring us volume and profitability and that seems to be working for us in providing a good support for those agencies. The national account team is a somewhat separate sales team that focuses on national accounts and then usually has linked with it our program project management resources and construction and services resources because we are often doing turnkey projects for our national accounts. And then the ESCOS and resellers kind of fit between those and with their different relationships where we are selling through the ESCOS or the resellers to the contractor, providing support for them from a technical standpoint, perhaps a product standpoint. So there is a lot of synergy between having all three paths to the market place, and we are able to work through some of the interactions with our customers to make sure they are getting product in the way that they want to buy the product.
Amit Dayal: Understood. And outside of the auto sector, where do you see more opportunities for you or where does the pipeline look promising?
Mike Altschaefl: First, as we mentioned, we’re so far our Q4 of ’18, we’re on track with our agent driven distribution and we would expect that to continue going forward. On the national accounts, it’s probably the area where you just receive large opportunities for big impacts because of the size of the opportunities that are in the market place, and there we are – we make sure we are in multiple industries. And so while we talk about automotive and retail as the two that are more significant right now, we continue to look at other areas and in that area too of healthcare and other industries to be involved with. So from a – to use the term used earlier on the call today, from an elephant standpoint, it’s probably more from the national accounts in most situations, but we also have situations with agencies that get involved with very large situations. As an example, there’s a school system that we are working with, whatever agencies are on that could be a very significant opportunity for a retrofitting of a very large school system in North America. So, big projects can come really from all three of those avenues.
Operator: Our next question comes from George [Gasper], a private investor. Your line is now open.
Unidentified Analyst: First question, I don’t know I remember, seeing and reading or hearing about – what is the backlog that you have currently and how does it compare?
Bill Hull: Our backlog is about 3.3 million at the end of the quarter and at the end of the year.
Unidentified Analyst: 3.3?
Bill Hull: Yes.
Unidentified Analyst: Okay, alright. And on the technology side, I assume now everything’s moved out of Chicago correct, both to Manitowoc and then down to Florida on the technology side?
Mike Altschaefl: That is correct; our Chicago location is now closed.
Unidentified Analyst: And then your borrowing capacity again right now, please?
Bill Hull: Well that fluctuates George, at the end of the year it was about roughly 4 million.
Unidentified Analyst: What’s your capacity to borrow?
Bill Hull: Our line of credit is 15 million.
Unidentified Analyst: 15 million, okay, alright. And then your diversification in the product line, you were talking about color tuning. Are you progressing at all in color tuning that seems to becoming a very interesting area of activity particularly related to special [halls] and things like that where they are used for different events, are you doing anything in that area?
Mike Altschaefl: What we do is we work closely with our chip suppliers and our largest chip suppliers are [Nacheya] and Samsung for chips and so we watch and learn from them as to what they’re doing in some of these areas and find out how it might apply to our customer base. Certainly areas like retail have some applications and so we just think it’s going to be a technology that will continue to develop with respect to LED and our role as to partner with our suppliers to make sure we understand the trend to work with them and see what’s being brought to market.
Unidentified Analyst: And then one being in Manitowoc, headquartered Wisconsin, maybe you don’t want to respond to this. But there is going to be quite a development down here in Southeastern Wisconsin by Foxconn. I mean that sounds like a major project that you should be involved in, is there any chance of you getting in that?
Mike Altschaefl: I certainly think there could be possibilities there. Our sales team has attended the informational sessions that are being held in Wisconsin, and we are working closely with our agency that is very significant in the state of Wisconsin which we will likely have visibility in to the new construction app. So there is going to be a lot of construction related to Foxconn over the next number of years and so we’re doing our best to put ourselves and play for those opportunities.
Unidentified Analyst: And just final comment, while it looks like you’ve got things pretty well addressed in terms of taking cost structure out and now the critical thing is to really obviously and you know that to generate the revenue stream to bring this earnings number to the bottom line and get rolling forward. So I hope that all happens this year, thank you.
Mike Altschaefl: Completely agree with your George. Thank you for your comments and questions.
Operator: That concludes the Q&A period. I will turn the call over to Mike Altschaefl for closing remarks.
Mike Altschaefl: Thank you operator, and thank all of you for joining us on today’s call. We look forward to updating you on our business progress and outlook on our next call. Have a great day. Thanks.
Operator: The conference is now concluded. Thank you for attending today’s presentation, you may now disconnect your lines.